Operator: Good day, everyone. Welcome to Verisign's Fourth Quarter and Full Year 2023 Earnings Call. Today's conference is being recorded. Recording of this call is not permitted unless preauthorized. At this time, I'd like to turn the conference over to Mr. David Atchley, Vice President of Investor Relations and Corporate Treasurer. Please go ahead, sir.
David Atchley: Thank you, operator. Welcome to Verisign's fourth quarter and full year 2023 earnings call. Joining me are Jim Bidzos, Executive Chairman and CEO; Todd Strubbe, President and COO; and George Kilguss, Executive Vice President and CFO. This call and presentation are being webcast from the Investor Relations website, which is available under About Verisign on verisign.com. There, you will also find our earnings release. At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our earnings release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent report on Form 10-Q. Verisign does not update financial performance or guidance during the quarter unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP results and two non-GAAP measures used by Verisign, adjusted EBITDA and free cash flow. GAAP to non-GAAP reconciliation information is appended to the slide presentation, which can be found on the Investor Relations section of our website available after this call. Jim and George will provide some prepared remarks. And afterward, we will open the call for your questions. With that, I would like to turn the call over to Jim.
Jim Bidzos: Thank you, David. Good afternoon to everyone, and thank you for joining us. 2023 marked another solid year of execution delivering consistent financial results while enhancing our critical internet infrastructure and extending our record of .com and .net DNS availability beyond 26 years. During 2023, revenue grew 4.8% year-over-year while operating income increased by 6.1%.  Shares outstanding at the end of 2023 decreased by 3.7% from the total of outstanding shares at the end of 2022. Our financial and liquidity positions remains stable with $926 million in cash, cash equivalents and marketable securities at the end of the year. Over the course of the year, we returned $883 million of capital to shareholders through the repurchase of 4.2 million shares.  At year end, $1.12 billion remained available authorized under the current share repurchase program which has no expiration. At the end of December, the domain base in .com and .net totaled 172.9 million domain names, down 0.6% from 173.8 million names at the end of 2022. During the fourth quarter, the domain name base decreased by 1.2 million domain names.  From a new registration perspective, the fourth quarter ended with 9 million new registrations, compared with 9.7 million names for the same quarter last year. For the full year, new registrations were 39.4 million names, down 490,000 names from the 39.9 million names we saw during 2022. The renewal rate for the fourth quarter of 2023 is expected to be approximately 73.1% compared with 73.3% a year ago.  For the full year 2023, a preliminary renewal rate of 73.9% is below the 74.2% renewal rate of 2022. Both first time and previously renewed names were lower year-over-year. While there are many factors that drive demand for domain names, declining demand from China remains the primary source of drag on the overall domain name base growth.  Our domains under management from China-based registrars declined by 2.2 million names in 2023. China-based registrar demand has been weak as a result of several factors including challenging economic conditions, a more stringent regulatory environment and the impact of a weaker local currency combined with retail pricing adjustments.  Excluding registrars based in China, our domain name base grew by 1.2 million names or 0.8% during 2023. While the domain name base thus far in 2024 has grown quarter-to-date, we have not yet seen any material changes in the current macroeconomic or regulatory landscape in China. Therefore we believe it’s prudent to expect China to continue to negatively impact revenue and domain base growth during 2024.  However, with the China base portion of our base now at about 5% of our overall domain name base, we see the negative trend in China having a less pronounced effect on our overall business after 2024. For 2024, we are expecting the domain name base to remain flat year-over-year with a range of negative 1% and positive 1%.  As announced in today’s earnings release, we have given notice of a price increase of $0.67 to the annual wholesale price for .com domain names with raises of our wholesale price from $9.59 to $10.26 effective September 1, 2024. Even after this increase, we believe com will remain highly competitive with other TLD choices.  As a reminder, any of our domains maybe registered for terms up to ten years at the current wholesale price.  Now I’d like to turn the call over to George. I’ll return when George has completed his financial report with closing remarks. 
George Kilguss: Thanks, Jim, and good afternoon, everyone. For the year ended December 31, 2023, the company generated revenue of $1.493 billion, up 4.8% and delivered operating income of $1 billion, up 6.1% from 2022.  Operating expense totaled $492 million in 2023 and was up 2.2% from the previous year. The full year 2023 operating margin was 67% and free cash flow was $808 million. For the quarter ended December 31, 2023, the company generated revenue of $380 million, up 3% from the same quarter of 2022, and delivered operating income of $256 million, an increase of 4.4% from the same quarter a year ago.  Operating expense in Q4 totaled $124 million, compared to $122 million last quarter and it was flat from a year earlier.  Net income in the fourth quarter totaled $265 million, compared to $179 million a year earlier, which produced diluted earnings per share of $2.860 for the fourth quarter of 2023, compared to $1.70 for the same quarter of 2022.  As stated in today’s earnings release, net income for the fourth quarter of 2023 included the recognition of income tax benefits related to the items noted in our release. Cumulatively, these income tax benefits increased net income by $69.3 million, and increased diluted earnings per share by $0.68.  Operating cash flow for the fourth quarter of 2023 was $204 million, and free cash flow was $199 million, compared with $217 million and $209 million, respectively, in the year ago quarter. Operating cash flow and free cash flow for the full year 2023 totaled $854 million and $808 million, respectively.  I’ll now discuss our full year 2024 guidance. Revenue is expected to be in the range of $1.560 million to $1.580 million. Operating income is expected to be between $1.045 million and $1.065 million. Interest expense and non-operating income net, which includes interest income estimates is expected to be an expense of between $30 million to $40 million. Capital expenditures are expected to be between $35 million to $45 million. And the GAAP effective tax rate is expected to be between 21% and 24%. Overall, Verisign has continued to demonstrate sound financial performance during the last quarter and throughout 2023 and we look forward to building on our strengths in our mission in the coming year. I'll now turn the call back to Jim for his closing remarks. Jim Bidzos Thank you, George. While demand from our registrars in China is expected to continue to remain soft in 2024, the fundamentals of our business remains strong. We firmly believe our responsible and disciplined management of our business and capital continue to service well allowing us to report another solid year, which in our view is one in which we fulfill our stewardship mission of providing secure and reliable infrastructure services, manage our business responsibly and efficiently and returning capital to our shareholders.  These goals remain unchanged and support our commitment to deliver strong financial results including steady growth in revenue, operating income and EPS. Thanks for your attention today. This concludes our prepared remarks. Now we will open the call for your questions. Operator, we are ready for the first question.
Operator: [Operator Instructions] We will take our first question from Rob Oliver with Baird. Please go ahead.
Rob Oliver: Great. Thank you. Good afternoon, everyone. Jim you pointed out China, good conversation, obviously that’s on everybody’s mind and so just will be curious to start just to get a sense from you what if anything has changed in China you alluded to the more stringent regulatory environment, but would love to get a thought from you on that? And then I had a couple of follow-ups. Thanks. 
Jim Bidzos: Okay. Thanks. Yeah, definitely China is the main focus of the results that we add. I mentioned in my remarks that we saw a 2.2 million unit decline from China registrars and that we had 1.2 million growth from registrars outside of China. So that the issues for us are definitely concentrated in China. And as I’ve said, today and have for several quarters it’s a variety of factors in China. Those are hard to predict that the challenging economic climate there, very difficult to predict what impact it’s having, how long that will last. The regulatory environment is one in which the process of obtaining domain names is a little bit more challenging, a lot more process, a lot more identification, confirmation authentication of the person registering, et cetera, process basically that makes it a little bit more difficult. And as we’ve mentioned for a couple of quarters now, foreign exchange is an issue as well, that increases cost of goods obviously for registrars selling domain names. So all of those things are contributing. It’s really hard to say. It’s an opaque market to try to understand. It’s very fluid. There is a lot going on there. Some of the things that are going on, migration and other stuff are things or shifts are making it difficult to really assess the impact, is it at the bottom? Is it bouncing along the bottom? When will it change? Those are really hard to see inside of a very opaque market. And so, and an abundance of caution, we just find it prudent to really be careful about guidance concerning China and where it might go. So, those are certainly the influence we are guiding to a flattish DNB, domain name base as a result and it’s just really difficult to predict. But as I mentioned, we are reaching the point here where the China base registrars represent about 5% of our zone. So, I guess, the impact – if the negative impact continues at whatever rate it should be less pronounced as I mentioned. 
Rob Oliver: Got it. Okay. Very helpful. Thanks, Jim. And George, if I may, on that domain base guide of negative 1% to plus 1%, how should we think about the impact of China within that? If you could give us a sense of how we might pull back our debt, in other words, what is trying to coming out of the numbers is China move – is moving beyond China total the forecast or is it starting to moderate? I know Jim just rightfully this is hard to predict, but I guess, you have made some predictions. So just curious how we can ballpark that? 
George Kilguss: Yeah, Rob, as Jim mentioned, in 2023, China clearly was a drag down about 2.2 million units and from a revenue perspective, which you will see in our when we file our Q, our revenue from China was down about $14.4 million. As we think about the guidance that we’ve provided, both from a revenue perspective and a domain name base perspective, we are assuming that the impact that we saw here in 2023 is going to have a similar impact in 2024 and as a result of that, that’s factoring into kind of the midpoint of our guidance of revenue and also factoring it to the midpoint of our guidance of the domain name base. 
Rob Oliver: Got it. Okay. Very helpful. Thanks. And then, last one from me and then I’ll pass the baton. Just Jim, wanted to see if there was any update that you guys have heard of that we should be aware of about .web and you had .communication in late August and you got commented on the last call just about where things stood. But just wanted to see if we could get a refresh run matter of anything we should be aware of coming up. Thank you. 
Jim Bidzos: Yeah, thanks for that question too. So there is not a new update on .web. I’ll just reiterate what I said last time which hasn’t changed which is that I can’t publish their response to the latest IRP and they were very dismissive of it that described in detail. Again their process that they employed in determining the .web was handled properly and that there are no issues. And so, what we’ve seen so far is basically process and procedure delays. And we are confident that that’s going to come to an end that those will run out eventually. I just don’t think that anything is going to change in the meticulous process that I can again concluding with the Board both without objection to instruct that to proceed with processing the .web application. Those were the last official communications of the Board in writing to the community and to staff. So, we are waiting for some of these process things to clear up watching the website. So, nothing new from the last time. I’ll just reiterate our confidence in what the outcome will be and reiterate our strong desire and exciting anticipation of bringing .web to market to our extended channel and to their millions of customers. 
Rob Oliver: Great. Thanks for that, Jim. Thanks guys. Appreciate it. 
Jim Bidzos: Thank you. 
Operator: We will take our last question from Ygal Arounian with Citi. Please go ahead. 
Ygal Arounian: Hey, good afternoon, guys. Maybe just to start, I am assuming that’s probably not a lot you can comment on the upcoming .com renewal, but if there is any chance to something you could say or something you want to comment on just to get and ask about that first?
Jim Bidzos: I’ll just say that .com renewal is based on a presumptive right of renewal. The .net renewal last year was similar and executed smoothly and on to .com. 
Ygal Arounian: Okay. Great. And that’s what I figured. For the global trends, understanding what’s going on in China, talk about the 1 million growth in domains outside of China. Can you frame that a little bit more? Is that typical? Is it still not at where you would call normal historical levels understanding there is some fluctuations over time? What are the trends you are seeing globally that give you confidence or not and if there is anything in particular that you could point on kind of maybe the US and Europe can be helpful?
George Kilguss: Yes. Sure, Ygal, this is George. So, yeah, as you just articulated, we did grow about 1.2 million domain names in our base outside of China when we look at that growth, that primarily came from both EMEA and our all other segments. Both of those were up. The US was a little flat. It was down by about 500,000 units in the domain names base year-over-year. But as a reminder, many of our US registrars are global in their reach. So I wouldn’t necessarily attribute all of that weakness here to US registrants. But we do notice that US registrants have been focused more on ARPU this year and 2023. So we think that can be a factor as well. But we didn’t see good growth in EMEA as well as in our other all other segments. 
Ygal Arounian: Got it. And then, just I guess following down the lines, want to maybe dig into the margin outlook for next year in costs. Less margin expansion at least to start here on the expectation for next year than what we saw this year. Can you just talk about investments and where you are looking to spend next year? And maybe tie in with that expectations around buybacks for next year as well? 
George Kilguss: Yeah, I can help you a little bit with that. I mean, first, in 2023, our expenses grew by 2.2%. But I will point out that that was favorably impacted by a $5 million reduction in fees paid to the government of Tuvalu. That went away in 2023 as that contract transitioned at the end of 2022. So on a normalized basis if you would adjust for that, we would have been closer to a 3.3% expense growth rate here in 2023, which is still I think a good job by the teams in managing the expense that they are responsible for. If you look at the midpoint of our guidance, that would imply about a 4.6% expense growth rate, which would be very similar to the growth rate we had back in 2022. So, hopefully that gives you some idea on the expense front. We are always investing with our strategic framework in mind making sure we are obviously protecting unconditionally growing responsibly and obviously managing continuously. And so, we will continue to focus on that framework that has served us well over the past several years. As far as buybacks, we really don’t guide to buybacks for a variety of reasons as we’ve talked about. But I think you can expect us to continue to be responsible in returning excess capital to shareholders as we have done for many, many years here in the past. 
Ygal Arounian: Okay, great. Thanks. And then, last one maybe bigger picture. GoDaddy had an interesting announcement earlier this week, a partnership with Ethereum Name Service or ENS and some of this stuff still on the crypto cycle little over my head, but I just wanted to get your thoughts on that, particularly because there were some commentary about the DNS and some of the challenges with integration there. I am just thinking about the kind of broader future domains and how block chain can impact, and maybe you have some views there. 
Jim Bidzos: Good question. Thanks, Ygal. Yeah, well this is really a positive development for the DNS. First of all, I don’t want to speak for either ENS of course or GoDaddy. But what they did is, is make it easier to link a domain name to a block chain address. So it’s a very positive development for the DNS and it reinforces the utility of a domain name and the already strong value proposition of a domain name. We’ve spoken here for years about domain names as a stable global identifier, a unique stable global identifier. That that’s the role it can play and the reason we think the domain name is the right, the best way to obtain such a unique identifiers because of the reliability, the maturity of the underlying infrastructure like the part that we operate, the well governed, well regulated space that determines the registrars and registrees are well regulated and how they behave, how they serve up IP addresses, what they have to do, that’s all part of our contract, that’s part of our requirement to perform 24/7 without fail. So they announced the domain names can be easily linked to ENS identifiers. ENS identifiers are typically linked to wallets holding crypto currencies. They are usually at difficult on intelligible string of characters. And there are other uses of ENS identifiers, but crypto currency wallets are a very common one. So, basically, being able to link your domain name to it is basically using this domain name and capping the DNS base with its global unique and stable identifier, all the benefits in the security that’s associated with it linking the block chain spaces, I think is a smart move and really good. It adds more utility and I think significantly more value to domain names. And the linkage itself benefits from the cryptographic strength of the DNS like DNSSEC, the domain name system security extensions. So the ownership that – the resolution of a domain name, all benefit from the underlying DNS that cryptographic protection to the strong public key infrastructure base things. You don’t see a lot of this work that we do and I think many of you probably know that my previous company are to say, basically inventing form of public ecryptography and build out infrastructure that was VeriSign 1.0. And so, this underlying secure, reliable infrastructure, along with the well governed space is why people are navigating with the DNS, it’s reliable. You are going to get where you want to go. And the ability to get a domain name registrant and have it activated and have it resolved and also well regulated. So, having basically a unique strong global identifier that you can use for all of the coming serves as an applications as we get more connected, more active is a tremendous benefit. I mean, it’s almost like that magical single password you can use everywhere in a world. We think that be a dream come true for a lot of internet users in a way a global unique stable identifier gives you that. And so, this is actually a new web three type of application realizing that there is a stable and secure base out there that you can link to and to get all the advantages out it and let people use those identifiers they already have. So we think this is really good news. 
Ygal Arounian: Super. A much more thoughtful answer than I expect to be honest. But very interesting in the future of all that. We appreciate your time guys. 
Jim Bidzos: Well, Ygal, just to add, I mean, the reason for that is that we don’t publicize a lot of the things that we do but for years, we’ve been working on what we call responsible integration of alternative name spaces with the DNS for the very reason that we believe that at some point the secure, well regulated underlying DNS is going to be a better basis for a global identifier for folks. And that, rather you can’t recreate 35 years of innovation building, weaving all kinds of high value applications into the DNS. This is the part of the plumbing that people don’t see that when we talk about operating and maintaining critical infrastructure that we do. So, I jumped on your question, because it’s a great opportunity to point to something we’ve been quietly working on for a while that’s I think now adding real value. 
George Kilguss: Sure. And maybe some under appreciation of the innovation in the space. So very helpful. 
Ygal Arounian: Thank you guys. 
Jim Bidzos: Great. Thanks. 
George Kilguss: Thank you. 
Operator: This concludes today’s question and answer session. I will now turn the conference back over to David Atchley for any additional or closing remarks. 
David Atchley: Thank you, operator. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation. This concludes our call. Have a good evening.
Operator: Once again, this concludes today's call. Thank you for your participation. And you may now disconnect.